Operator: Good morning and welcome to the MicroVision's First Quarter 2019 Financial and Operating Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference over to Lindsey Stibbard. Please go ahead, ma'am.
Lindsey Stibbard: Thank you. Good morning and welcome everyone to MicroVision's first quarter 2019 financial and operating results conference call. Joining me on today's call are Perry Mulligan, Chief Executive Officer, and Steve Holt, Chief Financial Officer. The information in today's conference call includes forward-looking statements, including statements regarding expected customer orders; progress under and benefits of existing contracts and license agreements and the negotiation of future agreements; customer product launches; advantages of our technology; litigation; progress with prospective customers; business execution; projections of future operations and financial results; product development, applications and benefits; availability and supply of products and key components; commercialization of our technology; market opportunities and growth in demand; as well as statements containing words like opportunity, positioned, poised, confident, believe, goals, focus, paths, expects, plans, will, could, would, likely, resulting, track, optimistic and other similar expressions. These statements are not guarantees of future performance. Actual results could differ materially from the future results implied or expressed in the forward-looking statements. We encourage you to review our various SEC filings, including our Annual Report on Form 10-K filed on March 6, 2019 and other SEC filings made from time-to-time in which we discuss risk factors associated with investing in MicroVision. These risk factors could cause results to differ from those implied or expressed in our forward-looking statements. All forward-looking statements are made as of the date of this call, and except as required by law, we undertake no obligation to update this information. The financial numbers presented on the call today are included in our press release and in the 8-K filed today. Both are available from the Investor Relations section of our website. This conference call will also be available for audio replay in the Investor Relations section of MicroVision's website at www.microvision.com. We have also posted the slide deck that provides an overview of MicroVision on the Investor Relations section of our website. MicroVision plans to participate in three investment conferences next month. The Oppenheimer Emerging Growth Conference in New York on May 14th, the B. Riley FBR, Annual Investor conference on May 23rd in Los Angeles, and the Ladenburg Technology Expo 2019 on May 30, in New York. In addition, MicroVision's annual meeting of shareholders will be held on May 22nd in Bellevue, Washington. Information about these events will be posted on the Investor Relations section of our website. And now, I'd like to turn the call over to Perry Mulligan. Perry?
Perry Mulligan: Thank you, Lindsey. Good morning, everyone. It has been approximately six weeks since our fourth quarter earnings call. In that call on March the 5th and more recently at an investor conference on March 28, we articulated the reasons for our optimism, as we looked at several near-term activities that we believe validate our product adoption in the market. Specifically, we stated we expected to see the following: First, we noted that we expected to complete the development portion of the April 2017 contract with a Tier 1 technology leader in Q2, and that we expected to receive purchase orders in March or April for the production ramp to support our market launch in the second half of this year. Second, we said we anticipated that our display-only license partner would receive a design win with a Tier 1 technology company in Q2 that would result in purchase orders for components in Q2 to support the ramp of this product in the second half of the year. Third, we anticipated the initial product shipments of our interactive display module would occur later this year. And finally, we plan to start shipping Consumer LiDAR explorer kits to customers in March. These expectations were based on the work we had done over the past two years to create a new MicroVision. We changed our corporate culture, sharpened our product roadmap, developed four new ASICS, a new memes, added machine learning intelligence in our modules and engaged with multiple North American Tier 1 AI platform owners. As a result, we said we would expect to see significant opportunities for revenue across our portfolio of solutions for 2019. Let's see how we did. First, the April 2017 contract; we effectively completed the development portion of this agreement. And earlier this month invoiced $2.2 million of the $2.5 million final milestone. We still have some parts to deliver and documentation work to complete, but expect that will be done before the end of this quarter, allowing us to invoice the final $300,000. We also received a purchase order for production material, covering the requirements for the near-term. While there are a few terms on the purchase order to be finalized, we expect to start shipping these products as early as June. Second, our display-only license partner: The activity with our licensee's customer continues and we remained confident that the design win for this product will be awarded in Q2 to support a launch in the second half of this year. Third, on our interactive display module: Our internal qualification of this module is on track and expected to be completed this quarter in time to support production in the second half of this year. We have received interest in this product from several Tier 1 OEM and we continue to work to secure potential 2019 revenue opportunity. And lastly, our Consumer LiDAR explorer addition kit: We began shipping our Consumer LiDAR explorer addition kits to Tier 1 OEMs in March as expected, and look forward to working with these customers on their plans to integrate this solution into a 2020 product launch. Let me wrap up my introductory comments by noting that we set out two years ago to turn MicroVision into a solution provider. We developed, communicated and are executing against the business plan to accomplish that pool. The feedback we have received from our customers has convinced us that we are on the correct path. It is this feedback that provides us with confidence that our solutions are entering the market at the right time with the right features. We remain excited by the level of engagement we are seeing across the product portfolio and remain optimistic that we will have three of our products in the market in the second half of this year. I'll now turn the call over to Steve, our CFO, who will discuss our financial performance in the first quarter.
Stephen Holt: Thank you, Perry. Good morning, everyone. First quarter revenue was $1.9 million, $1.7 million from contract revenue mostly related to the April 2017 contract and $199,000 from the sale of projection engines. These were engines we had made for Ragentek, but weren't able to sell to another customer. Revenue in the prior quarter was $1.8 million virtually all of which came from the April 2017 contract. Let me update where we are on the April 2017 contract, the total amount of the development portion of that contract is $15.1 million. Through March 31st, we've recognized $13.8 million, leaving $1.3 million to be recognized in Q2, which is when we expect to complete the contract. On this contract revenue recognition is not the same as invoicing so through March 31st, we had invoiced $12.6 million, all of which has been collected and we have invoiced $2.2 million so far in April and expect to invoice the remaining $300,000 later in the second quarter. Gross profit for the first quarter was $608,000. There was positive gross profit of $697,000 on contract revenue and negative $89,000 on product revenue, compared with negative $2.6 million gross profit in the prior quarter and a positive $315,000 in the same quarter a year ago. The negative gross profit in Q4 was mostly due to the write down of inventory we had built for Ragentek. Speaking of Ragentek as I reported last month, because Ragentek failed to take delivery of units that they order we started legal proceedings against them in Hong Kong. Things are proceeding as they should, but there is really nothing new to report at this time. First quarter operating expenses were $8.7 million compared to the prior quarter's $9.3 million. In comparison operating expenses were $7.4 million in the same quarter a year ago. The decrease in operating expenses from last quarter is mostly due to decreased spending on ASICs and prototypes. We do expect our operating expenses to decrease over the next few quarters as the expenses related to ASICs, prototypes and other costs related to getting our products ready for market in 2019 as those costs wind down. Additionally, we would like to give you some information on the headcount, which of course affects OpEx. At the end of Q1, our headcount was 105, at the end of Q4 we were at 109 and a year ago in Q1 of 2018, we were also at 109. For the quarter our net loss was $8.1 million or $0.08 per share. This compares to a loss of $11.9 million or $0.13 per share last quarter and $7.1 million or $0.09 per share in Q1 of 2018. We entered the quarter with total cash and equivalents of $7 million compared to $13.8 million at the end of the prior quarter and $17.2 million [SIC: $7.2 million] at the end of the same quarter a year ago. Given our historical cash usage and our current cash balance it's logical to assume that the company will be seeking financing this quarter. While we can't comment on what form that financing might be, we're confident that funds will be available. Finally, I would like to mention that this quarter we implemented ASC 842, the standard for lease accounting. Under this new standard leases that were previously disclosed only in the notes of the financial statements are now included in the balance sheet. For MicroVision, the biggest impact of this standard relates to our office space rent or lease in Redmond, Washington. So our March 31 balance sheet now has a right to use asset of $1.6 million related to the space and also on the balance sheet our operating lease liabilities in the current and long-term liabilities sections of the balance sheet related to those future office lease payments. I'll now turn the call back over to Perry for some comments before we open the call to questions.
Perry Mulligan: Thank you, Steve. During the past two years, MicroVision has undergone and important transition from developing technology to providing solutions to our customers. In that journey, we have changed our corporate culture, sharpened our product roadmap and go to market strategy to focus on Tier 1 technology leaders capable of bringing disruptive solutions to market, develop new MEMS, ASICs and added machine intelligence on our modules, and now are engaged with multiple North American Tier 1 AI platform owners. We are poised to reap the benefits of this work, as we look to launch products in the second half of 2019. Finally, I'd like to comment on the sales cycle and the timing of information we can share with you. While many people might view the purchase order as the start of the activity to enable product launch, as our April 2017 contract clearly demonstrates, when working with Tier 1 customers like this, this is not always the case. A lot of important activity to support the market launch goes on behind the scenes before there is a purchase order. For example, customer and product roadmaps, marketing plans and forecasts need to be developed and production plant set. Based on the work we have done on our display only and the interactive display products. We expect purchase orders to be placed for deliveries in the second half of 2019, representing a major milestone in a very lengthy process. These orders would be in addition to the purchase order from the April 2017 contracts that we are expecting to start shipping in June. We are committed to keeping you informed of our progress as we go forward and remain excited by the revenue ramp in the second half of this year. With that, we will now open the call for questions.
Operator: Thank you. [Operator Instructions] And today's first question comes from Mike Malouf of Craig Hallum. Please go ahead.
Michael Malouf: Great. Thanks, guys. And congrats on the purchase order. I guess that's my first question. Can you just give us a little bit - you commented that it's a small initial purchase order. Just wondering if you could just give us a little bit of color are we expecting a series of purchase orders over the next month or two or is there just a small initial start of the product? Can you just give us some color on that? Thanks.
Perry Mulligan: Again, Mike, I think we've been consistent through our calls on this. The customer clearly indicates they're ramping the product to ship in the second half of 2019. All indications are that still to plan at record, we absolutely expect that this first order as you describe it, the small initial order will be followed by subsequent orders and we'll provide those details as they become available.
Michael Malouf: Okay, great. Thanks. And then, with regards to the Consumer LiDAR, I'm wondering if you could give us just a little bit of insight into some of the used cases that you're seeing out there. You're selling these kits out there. Who are - just in general terms, who are they to and what kind of interesting uses are they going to use the product in?
Perry Mulligan: So, great question, Mike. Thank you. There's a couple of things that we've articulated while we've been out in our presentations to investors and as illustrated of our presentation on the website, the disruptive capabilities of our Consumer LiDAR are very interesting. We've targeted AI platform owners as we believe that the advantage that it provides for an AI connected home control center, home hub is very pronounced to have the awareness or the presence of what's going on in the space around it and the applications that it could then control through a central connected device or a platter of applications. As we said, we've targeted our OEMs, our Tier 1 OEMs with our kits. And we're excited with the initial feedback we're getting as to how the kits are performing and look to them to tell us how they want to try to deploy it in solutions going forward. So we'll have more information on this as we get additional feedback through the year.
Michael Malouf: Okay, great. There's lots of help, appreciate it.
Perry Mulligan: Thanks, Mike.
Operator: And our next question comes from Glenn Mattson of Ladenburg Thalmann. Please go ahead.
Glenn Mattson: Hi, guys. Apologize if there's a background noise, I'm traveling right now. But, so a couple of questions, one on the purchase order that relates to April 2017 contract, congratulations on that. It's nice to see for sure. I guess curious, I think if you can give any color or feedback as to what kind of launch they're planning, is it like a global launch or a regional launch, maybe that'll give us some inside into kind of what kind of scope that they're looking at in the initial period.
Perry Mulligan: We have not had those conversations with our customer on how they perceive or how they plan to enter the market with their products, Glenn. Sorry, I can't provide any more color than that.
Glenn Mattson: Okay. And then, curious on the projection stuff, is it - I think and I'm not sure if I heard correctly, but I think you said you expect a display-only as well as interactive is that what you said Perry for this year?
Perry Mulligan: Yes, so specifically, we've - the last couple of calls, we've commented on the fact that we expect a design win for our display-only licensee partner this quarter, we expected that product will then subsequently ship and ramp in the second half of 2019 and for our interactive display products with the interest that we see on that device, we still are optimistic that we will see product shipping in the later part of this year as well. So one we did specific learning for the design win imminently, and one we said in general terms.
Glenn Mattson: Okay. But is it safe to assume that it wouldn't be the same customer doing some sort of set of products or is that not the path that to expect?
Perry Mulligan: Yes, at this point in time, we can't really comment because there is multiple opportunities being addressed. I'm not sure how pool will come out with what win.
Glenn Mattson: Okay, all right, great. Thanks for the color Perry. And maybe Steve, quick on the OpEx stuff. What kind of magnitude of - I think you're trying to signal that there'll be a little bit lower OpEx for the next quarter or a couple quarters? Can you can you give us directionally or a little bit of magnitude as to what you expect there?
Stephen Holt: Yes, I think, when you look at where we were a year ago about $7.4 million, that was - that's kind of the neighborhood of where we're trying to get to by the end of the year, so kind of ramping down through that period. And my caution is that we're in a pretty dynamic time where things are happening at a pretty fast pace and it's very exciting and we're all - and you don't know exactly what may come up your way. So - but generally speaking, we see it coming down over the next couple quarters our way.
Glenn Mattson: Okay, all right. Great, thanks for the color, guys.
Perry Mulligan: Thanks, Glenn.
Operator: And our next question today comes from Aman Gulani of B. Riley. Please go ahead.
Aman Gulani: Thanks for taking my question, and congratulations on the purchase order. So my first question is across your different products, you've got your display-only, you've got your interactive display, then you've got your Consumer LiDAR. In terms of product roadmap timeline, would it be safe to say the first roll out will be the display only followed by the interactive then the Consumer LiDAR is maybe more of that 2020 story is that the right way to think about it?
Perry Mulligan: Yes, I think you characterize that correctly, again, I just wanted to add one specific data point that said that April 2017 contract we've never identified what space that or product that represents and we would refer again to the comments made in this call, that said we expect to start shipping that as early as during this year in production. So you really have those four streams insight if you will.
Aman Gulani: Got it, okay. And in regards to the explorer kit, are you sending that any auto OEMs for LiDAR in use in ADAS, is that something that you're looking at as well or is it too early for that.
Perry Mulligan: We've always differentiated the Consumer LiDAR product vertical from the automotive LiDAR discussions. We are still as we said in our last earnings call having discussions with Tier 1 OEMs because we absolute believe that our product is well suited for those solutions. But the Consumer LiDAR product is really targeted for AI platforms 10 meter application sort of 30 feet kind of awareness applications within a room that kind of dynamic. So we see them as being tailored for different solutions.
Aman Gulani: Got it, thank you. I'll pass it on.
Perry Mulligan: Thank you for the call.
Operator: And our next question comes from Kevin Dede of H.C. Wainwright. Please go ahead.
Kevin Dede: Thanks. Good morning, guys it's Kevin Dede. Perry, the press release makes it pretty clear that there are multiple Tier 1 OEMs interested in the interactive display, could you characterize that any further?
Perry Mulligan: Kevin, sorry, but I don't think we can add much color than we already have, right? We're targeting North American Tier 1 OEMs that have AI platforms, and we're saying there's several of them interested. So it's a small pool to begin with, and we'll leave it at that.
Kevin Dede: Okay, fair enough. So Perry, given the great effort to include edge computing, I was wondering if you could I guess offer some examples across those four tracks in product ramping up here, how that computing has been I guess leveraged by your customers?
Perry Mulligan: That's a great question. I really appreciated it Kevin because I think it helps illustrate specifically the advantage that our LiDAR capabilities have and that the inherent benefit that customers would receive from. So the easiest example that I would bring to mind is the advantage evidence in our interactive display module by leveraging our machine learning algorithm we can process the LiDAR image view that receive real time on the device and subsequently interact with the OEM products, limiting the same standard interfacial 10 finger touch display products or displace solutions would have. So in other words we've reduced the effort and energy for our customer to use the module, making it much more plug and play using standard interface because our machine learning does the work of that complete analysis. The illustrative thing and the thing that I think causes customers to have a bit of a wow factor is how efficiently and effectively we can do it, how low power we can do those computations. Because most people are a fair amount of complicational cycle to get that done and this is an example where our efficiencies and the inherent characteristic of our solution show the technical leadership and technical advantage.
Kevin Dede: So it's clear in the display only environment, there's no need for that edge computing right because it's pretty much just dumb output, correct?
Perry Mulligan: And again, I don't know if I am using the word dumb output, but I agree that there is no need for edge compute module there in the display only segment.
Kevin Dede: Okay. Then you've got your April 2017 contract where the product hasn't been characterized completely per your earlier comment. Can you offer whether or not that edge capabilities been included there.
Perry Mulligan: Yes, we can't provide any more color than what we've said previously in our calls and in our releases that it is high definition display solution.
Kevin Dede: Okay, fair enough. Thanks, Perry. So then clearly, have you seen your customers integrate motion detection, I mean, that was one of pretty neat things that you guys displayed at CES. And I'm just wondering if people have sort of taken a leap on that capability.
Perry Mulligan: Again, thanks for making people aware of that as you point out, and there's a little break up in the question, I'll just reiterate it, because of our capabilities with our LiDAR not only can we mimic touch 10 finger touch, we also have the ability to recognize gestures. And as of this point in time, I can't comment on who is looking to adopt that feature set in their products. So - but thank you for reminding folks that it's a capability we possess.
Kevin Dede: No, my pleasure, Perry. Steve, just on the balance sheet other current liabilities they are over $10 million, I apologize for not remembering what's buried in that, but would you mind refreshing my memory?
Stephen Holt: Yes, the April 2017 contract, when we signed that contract, the customer made a payment of $10 million. And essentially, what the genesis of that was, we didn't want to do a program where we do development, we make a few million dollars in development after two years. They don't take the product to market and it wasn't that beneficial to us. And so what they did was they said, okay, look, here's $10 million, we get, put it on our balance sheet, they paid it. If in the event the program would it be cancel or whatever, we will get to keep it. As it turns out, we think we're going to production and so then they will earn that back towards purchases. So that's the $10 million.
Kevin Dede: Okay. So as the purchase orders come in net balance declines, and you recognize the revenue.
Stephen Holt: Yes, they'll earn some portion of the sale back with that money. And effectively, when the contract is completed, and I envisioned that we will move that to a customer prepaid category.
Kevin Dede: Understood. Okay. Thank you, gentlemen, thanks for bearing with me, Perry. I appreciate it.
Perry Mulligan: Thank you, Kevin. Appreciate it.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Perry Mulligan for any closing remarks.
Perry Mulligan: Thank you, operator. In closing, I want to once again thank our employees, business partners and our investors for their support and look forward to reporting our progress over the next several quarters. Thank you.
Operator: Thank you, sir. The conference has now included. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.